Sarah Willett: Thank you, and good afternoon, Europe, or good morning in the U.S. Thank you all for joining us today. I'm here with Damian Gammell, our CEO; and Nik Jhangiani, our CFO. Before we begin with our opening remarks from our preliminary results for the fourth quarter and full year 2020, a reminder of our cautionary statements. This call will contain forward-looking management comments and other statements reflecting our outlook. These comments should be considered in conjunction with the cautionary language contained in this morning's release as well as the detailed cautionary statements found in reports filed with the U.K., U.S., Dutch and Spanish authorities. A copy of this information is available on our website at www.cocacolaep.com.
Damian Gammell: Thank you, Sarah, and many thanks to everyone joining us today. 2020 was clearly an unprecedented and challenging year for all of us. So let me start by saying a huge thank you to everyone at CCEP for their incredible commitment and agility as well as the support they provided to our customers, consumers and communities throughout the year. We entered 2020 with good momentum, building on a solid performance in 2019 and a strong track record. Then the pandemic hit our markets and communities. Our response was rapid, and we clearly demonstrated resilience of our business evidenced by another year of market share gains. I'll talk more about our actions, but I am proud of our ability to protect our performance in the short-term without compromising the longer term. We over-delivered on our cost mitigation plans, of which a significant amount will not return. And we launched our Accelerate Competitiveness efficiency program on our journey to an even leaner future. And even after our continued investments behind our portfolio, digital and sustainability, we were able to deliver over €900 million in free cash flow, a standout performance given the year we have had. This foundation gives us confidence in the future, and our fantastic portfolio of brands provides an exciting platform for growth, a future that no doubt will be digital and green-led. And of course, we also have the exciting opportunity to acquire Coca-Cola Amatil. While there remains some uncertainty about the duration and impact of the pandemic, the rollout of COVID-19 vaccines brings new optimism. Our decisive actions during the year have put us in a stronger position to react to the renewed restrictions we are facing in 2021. We remain confident that we will emerge from this crisis an even more efficient and sustainable business. You will have seen this before, and the message remains the same, we do come from a position of strength. We operate in an attractive and valuable category. We enjoy scale and a market-leading position across all our geographies. We have an exciting portfolio of brands, products and packaging with a strong future pipeline of innovation. We continue to create a lot of value for our customers, too, through this great service we offer. We have a solid balance sheet. And despite a challenging year, we continue to generate a lot of cash. And we continue to be strongly aligned with our largest franchise partner, The Coca-Cola Company and all our other brand partners. As you know, sustainability is a key priority for us, and the pandemic has strengthened our determination to go further and faster in decarbonizing our business. And I am privileged to be leading a strong team of such dedicated, talented and engaged colleagues.
Nik Jhangiani: Thank you, Damian, and good afternoon, and good morning to all of you joining us today. Let me start with our 2020 financial summary. Our revenue declined by 11% on an FX-neutral basis, driven by a 10% comparable volume decline, reflecting the impact of the COVID-19 pandemic, which of course, I'll come back to in a moment. The combination of the adverse channel, pack and geographic mix resulted in a 1.5% decline in revenue per unit case. You'll find our revenue performance by geography in the appendices of this presentation with detailed commentary in the release. On our cost per unit case, that increased 2.5% on a comparable and FX-neutral basis, mainly driven by and under-recovery of our fixed costs, given the lower volumes, combined with adverse mix mainly due to the higher demand for cans. As a reminder, approximately 15% of our COGS relates to fixed costs, namely manufacturing costs and D&A. Commodities, which accounts for a further 25%, were mainly favorable in 2020 with lower PET and aluminum prices, partially offset by an increase in sugar prices. In addition, we benefited from the lower concentrate costs driven by the decline in revenue per unit case, in line with our incidence model.
Damian Gammell: Thank you, Nik. Our future will be green and digitally led. We have and continue to increase our investments in digital right across the business. The pandemic has shown the important role digital platforms are playing for our customers, consumers and colleagues and the opportunity we will continue to harness. We continue to invest in sustainability with our now overarching commitment to net zero by 2040. This alongside continued to make portfolio investments skewed to the core, but also to see future revenue streams like Costa, Tropico and Topo Chico, all supported and aligned with our brand partners. We want to continue growing and sparkling and double our already strong energy business. We are also now building a platform for growth in coffee with Costa. So we are rightly confident about the future of our business built upon 3 pillars: great people, great service and great beverages. We will strengthen a workplace culture that embraces well being, inclusion, diversity and equality. And to support our growth platform, we've also launched our new efficiency program with the first savings due to land in 2021 as we move forward to becoming an even leaner business. And with that in mind, here are some key highlights to look out for in 2021. On the core, watch out for the What The Fanta campaign, lending itself to the playful nature of the brand. New Coke packaging and a new greater taste in Coke Zero on its way to be sold, supported by a major advertising campaign. In the energy space, Coke Energy's relaunch in 2020 is underway, including the launch of Coke Energy Cherry. And Monster will drive more innovation, including new flavors, especially across the ultra and juice ranges, including Monster Mule, a mix between ginger brew and energy. There will be new flavors for Fuze Tea like elderberry peach and raspberry mint, new larger pack sizes for the home channel alongside variants launching without sugar. Tropico entered Portugal for the first time this year. And with new flavors like clementine, orange and tropical, and of course, the exciting launch of the new low-calorie hard seltzer, Topo Chico brand is underway with 3 flavors. Early days, but customers are enthusiastic and the early feedback is encouraging. And now on to Costa. Building a platform for growth in coffee is indeed an exciting opportunity. It's a large and growing category. We have a new dedicated team in place to manage Costa within CCEP. We are busy building our plans with a focus on Proud to Serve, the wonderful Express machines and Ready-to-Drink, with new variants landing this year like the flat white and vanilla latte. Outside of GB, Costa will be launching Proud to Serve and Express in all our markets, starting with Germany, Benelux and Norway in 2021. We look forward to sharing more in due course. We are progressing with the acquisition of Coca-Cola Amatil. You will no doubt understand the sensitivity, given this is a large transaction. So we are limited as to what we can say at this time. In the meantime, as you'll have seen recently, we announced receiving approval for the transaction from the Australian Foreign Investment Review Board. In terms of next steps, we are now waiting for Amatil to receive the independent expert reports commissioned by them and then publish the Scheme Booklet ahead of the scheme vote. The scheme naturally remains subject to other customary conditions, including Amatil shareholder approval, court approval and the New Zealand foreign investment regulatory approval. We look forward to moving ahead in the process and sharing more with you as soon as we can. So our key takeaways in 2020. 2020 was a challenging year like no other, but I am proud of how well we managed through such a rapidly changing environment. The crisis reinforced the power of our relationship with The Coca-Cola Company and all of our brand partners. Our collective belief in continuing to invest in our core brands has served us well. The crisis did not stop us continuing to do the right thing to position the business for the long-term. We continue to invest, particularly in sustainability, digital and, of course, in our portfolio. We have adjusted our cost base to a new reality and launched a wider efficiency program, so more to come. And the strength of the free cash flow generation of this business was a real standout. And as I started by thanking my engaged and committed colleagues, I wish to end on the same note as we look to the future. While our business continues to face significant restrictions, which we comfortably continue to navigate, we face the future with optimism and confidence. We are ambitious in our ability to grow, but done sustainably for a better shared future, as we believe more sustainable businesses will ultimately win longer term. And now I'm very happy that we would like to open for questions. Thank you. Operator?
Operator:  And our first question comes from the line of Bonnie Herzog with Goldman Sachs.
Bonnie Herzog: I guess I was hoping to hear just a little bit more details on the permanent discretionary expense reductions you discussed. And specifically, your thoughts on marketing spend this year. I guess I'm wondering if there are any examples that you could share with us that give you the confidence that the pullback or reductions won't necessarily have a negative impact on your top line, for instance? And then I know you're not in a position to provide guidance right now, but maybe on a high level, when thinking about margins, would it be fair then to expect margins to expand this year, given the expense reductions and certainly your new savings program?
Damian Gammell: Thanks, Bonnie. Maybe I'll cover your question around the marketing investment, and then I'll hand over to Nik. So we feel really confident with the plan for '21 in terms of the level of investments against the programs, both on their side and with The Coca-Cola Company. And throughout the crisis last year, we continue to fully invest behind the business that was really opening and winning, which is retail and online. And we maintained our consumer pricing programs because we felt that was critically important, and we saw that impact on our share, and that will flow through to '21. So I think from a top line growth perspective, the only thing that is going to hold us back in the near-term will just be the restrictions in away-from-home. We continue to see strong growth across our brands online and in retail. And clearly, where away-from-home is open and takeaway or food-to-go, we're also growing nicely. So we feel pretty confident about our investment levels. And clearly, we have taken the opportunity throughout 2020 to just be more choiceful around where we spend our TME and that has released some savings to our bottom line, and we feel good about that. So very much looking forward to our markets fully reopening, and we're well placed to fully fund that as we move forward. So over to you, Nik, if you want to just cover the broader question on cost.
Nik Jhangiani: Yes, sure. So Bonnie, if you look at what we did in 2020, the €260 million, there's largely 4 buckets there. You've got the P&E spend; you've got things on incentives; you've got travel, meetings, et cetera; and then you've got other discretionary spend. And I've communicated, the €150 million in that we believe we can definitely retain versus 2019, it's really back to that point that Damian just made. We are actually looking to reinvest back in TME and hence, you see that number coming down. But that's also then supported by the fact that we've got some new programs that we have initiated that will deliver savings in '21 and in the years beyond. So I think combined with what we're looking at, we feel confident that this is what's going to definitely be saved in the P&L. And if there's more investment that needs to happen in TME, that's already what we've accounted for. So it's almost like this is the base for 2021. And then for the outgoing years, we actually have some of the continuing benefits of the programs that we've announced in late 2020. So clearly, if you look at that, mathematically, we would expect, despite consumer and shopper investments that are deducted against revenue, we'd expect to see rate improvement as well as mix improvement coming in on the top line. You can see I talked about COGS from a commodity perspective. Clearly, obviously, if you look at the elements around volume coming back, which we clearly expect it will, that will have a positive impact versus 2020 in terms of our overhead recovery. So both at the gross margin level and then supported by what I just described in terms of the OpEx savings at the operating profit margin level, we would expect to see expansion. I can't give you a number, but clearly, there will be expansion versus the numbers that you see for 2020. So hopefully, that helps.
Operator: And our next question is going to come from the line of Lauren Lieberman with Barclays.
Lauren Lieberman: Great. I was curious if you can talk a little bit about should recovery come faster than expected? How do you make sure you are prepared for that outcome as well? And then secondly, I was curious about the cooler placement conversation. You shared, Nik, how much of your CapEx budget was allocated to coolers or cold drink equipment in '20. And I was curious here if things are better for '21, again, particularly as mobility, hopefully, increases sooner rather than later.
Damian Gammell: Lauren, thank you. Yes. I mean we are fully prepared for a faster recovery. And obviously, would very much look forward to that outcome. I think what Nik kind of highlighted in our financials from 2020 and something that I think we managed well was that while rebased our cost base, including TME to Bonnie's earlier question, we also were conscious to continue to spend money against the opportunity in the future. So we continued, as Nik called out, to invest in digital. We obviously continue to invest in sustainability, but we also closed out a number of supply chain projects that particularly on some packaging like cans, that we know is going to be a key driver of our future growth. So certainly, from a capacity perspective, we're well placed to recover. Clearly, we've protected the muscle of the business. So when we talked about restructuring, which was necessary, we did retain the muscle of the business, the frontline. We redirected that asset to home market, given the circumstances, but we've retained our coverage in away-from-home and our online capabilities. So yes, we're well placed. And we continue to make the right decisions as we see that recovery, hopefully, moving forward, and that gives us confidence that we can capture more than our fair share of that recovery because clearly, one of our goals is to beat the market and we've done that, and I think we continue to generate a lot of cash and profit for our customers. So we've come into 2021 in a good place with our customers, both on pricing and rate, and that was something we were conscious of as well to give us a solid foundation and that's in place. So really, the variable that we're managing against is as these restrictions lift and the market reopens, we're ready to go with speed, and that's what we'll do.
Lauren Lieberman: That's great. And then the cooler question, that was the other follow-up.
Nik Jhangiani: Sure. On the cooler...
Damian Gammell: Yes, Nik, you want to take a look at it?
Nik Jhangiani: Sure. Lauren, on coolers, if you look at our CapEx, we spent, like we said, around €360 million in 2020, but it was a little more weighted towards both digital as well as some of the supply chain projects that we were kind of midstream on. If we look at 2021, we feel our base level would be about the same, but we have definitely upped our cooler investment there. And clearly, if the business is recovering and coming back faster, Damian and I would have no issue putting more into coolers and moving with speed on that. So clearly committed to continue to invest in the market and be focused around faster recovery.
Operator:  And our next question is going to come from the line of Richard Withagen with Kepler.
Richard Withagen: On sustainability, you have a €250 million investment in the 2020-2022 period, which partially will go through the P&L and part through CapEx. So I was wondering how much of this investment will be incremental to your cost base? And how much has already gone through the P&L in 2020?
Nik Jhangiani: So just to give you a quick rundown on the P&L piece in particular, the biggest elements are really what we're doing from a perspective of investing in areas such as rPET, what's gone in from an angle of shrink to board conversion, et cetera. So that's included in our COGS number in our P&L. That's included in the 2.5% COGS per unit case. We don't break out that number separately. And then as we look forward, I mean, obviously, there's a fair amount in our base, you will continue to see the investments going in there. In the commodities number that I've given you of circa 1% inflation, that includes additional on cost for our sustainability investments, again, linked to those same elements that I talked to you about. So you can see, despite our investments in sustainability, we're managing to keep our commodities inflation very much in check and in line, and it's the right thing to do longer-term for our business and our brand equities.
Richard Withagen: And then maybe...
Damian Gammell: And may I just add -- sorry, Richard, just to follow-up to Nik's comments. I mean, yes, I think -- actually, this morning, I had a look at a new campaign that we'll be rolling out with The Coca-Cola Company around our sustainability investments because, clearly, we see that as an investment rather than a cost. And it's fair to say that we probably haven't leveraged that as much as we could, but I was happy to see a new direction around how we're going to get that message even closer to a consumer and to a shopper. And compared to 2, 3 years ago, even in Europe, I'm continually surprised at how much our customers are now leaning into the sustainability debate and really valuing what we're doing. So yes, it's a cost, but it's only a cost if we don't turn it into an investment, and that's really what we're focused on. Sorry, Richard.
Richard Withagen: Yes, yes. No, that's all right. Maybe as a quick follow-up. You gained market share overall in 2020. Can you perhaps give some color on the markets where you did really well and the ones where you lack behind in terms of market share?
Damian Gammell: Yes. We did really well across all of our markets, I have to say. We definitely had some challenges with customer groups. So I think when we look at market share, I think it's probably easier to look at specific challenges that lasted a bit longer. We talked about it during 2020, particularly with some of the buying groups. So that impacted markets like Germany and Belgium, but that was more a function of the customer and universe rather than the market. Outside of our buying group challenge, we gained share across all of our countries across our customers. So really, it was more of a customer group challenge rather than any specific market. But obviously, the markets that were affected by the longer-than-expected negotiations with  were, from a scale perspective, definitely Germany and Belgium. But overall -- and we saw our share recover very nicely in the latter part of 2020 as we reached an agreement with that particular buying group. So yes, very positive move on share on NARTD, sparkling was slightly impacted by our buying group negotiations. But overall, all our markets did pretty well, I have to say.
Operator: And our next question is going to come from the line of Edward Mundy with Jefferies.
Edward Mundy: Two for me, please. I appreciate there's not an awful lot you can see on Coke Amatil at this stage, but you probably noticed they printed some quite good results recently. Does that change the opportunity? And is there any update you can give at this stage on the cost of financing you think you might be able to achieve on that deal? And then the second -- again, probably not an awful lot you can say, but I'm going to try and ask it anyway. Growth, I think, in 2021, is going to depend, to a large extent, on how quickly the reopening takes place in Europe, and I appreciate you don't have a crystal ball and the environment is still quite volatile. But I was wondering whether you're able to share what you think or how much of the lost revenue in 2020 you think you might be able to get back on a good reopening scenario relative to, let's say, a bad reopening or late reopening scenario?
Nik Jhangiani: Great. So in relation to -- so I'll take -- let me take that second one first in terms of the reopenings. Clearly, when we look at our business, we are expecting Q1 to probably be the most challenged. And I think you'll probably see restrictions as we hear the market is starting to ease towards, hopefully, the end of Q1 as the vaccine rollout happens, et cetera. So I mean, I think if we look at the recovery, think about it from an angle that Q2 was our worst hit quarter last year. So clearly, you'll be seeing a strong recovery in that quarter regardless because we're not going to have that severe a level of lockdown that we saw. And in the second half of the year, you've seen the results where there are strong results, but clearly, we believe there's upside, particularly given the fact that in Q4, the away-from-home was clearly challenged, again, because of those numbers. So I mean, I think in a downside scenario, if you look at it in terms of that going longer, you're looking at maybe some period into Q2. But clearly, we see second half should be a lot stronger, and if not, Q2 relatively even in a weaker or a lockdown situation, you're going to see that stronger. So we feel good about everything that we're doing that's within our control to be focused on what we can do from a better execution perspective, brand focus. We've got great supply chain capabilities to be able to ramp-up very quickly. So we feel good about that from an angle of, really, the recovery should hopefully come fast and sharp as soon as things start opening up. From our perspective on the transaction, I think a couple of things to say. Firstly, if I start with your first question around the better share trading -- the better trading update from Amatil. Clearly, we were expecting that, as you can see in our results, we've seen that. So as Damian said, we're now waiting for Amatil to receive the independent expert report, which they've commissioned and then publishing of the Scheme Booklet ahead of the scheme vote. So we'll update you on that going forward. In terms of cost of financing, I mean, again, you saw we were able to raise some great money towards the end of last year, both in terms of the recap for €250 million, where we had an effective coupon of about 60 basis points and then we did a €750 million 8-year deal where we had a coupon of 20 basis points. Now clearly, the magnitude of what we would be looking at going forward for the transaction would be significantly higher. But I think if we look at it from an angle of where we are, I would view those as benchmarks. And if you look at particularly the recap, we should be very comfortably be able to do that within that quantum that I just referred to in terms of the deal size. So hopefully, that helps a little bit, Ed.
Operator: And our next question is going to come from the line of Rob Ottenstein with Evercore ISI.
Rob Ottenstein: Congratulations on a very strong performance in most challenging times. One of the things that I was wondering, you mentioned that you were going to reduce 1,200 roles to meet the changing needs of customers, if I recall that correctly. Can you -- is it -- talk about sort of the ongoing changes. I mean are these changing needs given COVID or changing needs as you see them developing in the post-COVID world? So that would be my first question. And then the second question, just if you can talk to us a little bit about what you've learned about Costa Ready-to-Drink and how that's been received in 2020?
Damian Gammell: Thank you, Robert. Yes, the changes that we made are really focused on the future. So I mean, they obviously support our journey through COVID, but they're very much anchored in our view of a post-COVID consumer and customer environment in Europe. And they're quite broad, those roles. Some of them come from our SKU rationalization and the efficiency that that's driving. Some of them come from businesses that we're exiting. So a number of water brands that we felt were not going to contribute to our shareholder value story going forward. Obviously, we've been investing a lot in technology since we created CCEP, and there was always going to be the opportunity to become more efficient and productive through that. So some of those changes can come on the back of our technology investment. So it's quite broad, and sets us up very well for the future. And clearly, is on the back of decisions we made pre-COVID, but I'm sure you hear a lot of CEOs saying this, but it has allowed us to accelerate some of the changes that we were going to do anyway. So very much future-based. On Costa, we're seeing our ready-to-drink portfolio in the U.K. do very well. The brand is well known. We're excited about rolling that out across Europe. I think Nik highlighted that in his comments. We're going to do it on a holistic level with some of our other propositions around Proud to Serve and also the Costa Express machines which are fantastic. So we're very excited about that. It's a growing category. And clearly, the Costa brand gives us a great platform to win in ready-to-drink outside of the U.K. So that's how we're looking at Costa. And to echo what Nik said, some of the decisions we made in 2020 were to continue to invest in our capital program for Costa as well.
Rob Ottenstein: What share...
Damian Gammell: And to get us ready.
Rob Ottenstein: What share did you get for ready-to-drink in the U.K.?
Damian Gammell: I think we're just over 4% now, Robert. So just over 4%, 4.5% share. So from a quick start, so we're pleased with that as well.
Nik Jhangiani: And Robert just one last point to build on -- sorry, just one last point to build on, on the comment around Costa. As Damian said, clearly, we accelerated that. So the €150 million that I talked about factors in for 2021 elements of those savings as well as the mitigation continuing. But then if we look forward because of those announced programs, if you look out the next 3 years, '22 to '24, there's at least another €50 million to €75 million just based on the programs announced and the run rate. So clearly, strongly focused on our cost base.
Operator: And our next question will come from the line of Simon Hales from Citi.
Simon Hales: Nik, maybe just following up on your last comment there around the €150 million of savings this year and ongoing. Can I just sort of clarify that in the €150 million this year, that includes some of the ongoing savings you'll be getting, particularly in Q1, given the tough backdrop, I think, you're certainly facing at the moment in Europe? Or are they separate and on top of the €150 million?
Nik Jhangiani: Sorry, I didn't get your question. In Q1 of 2021...
Simon Hales: 2021.
Nik Jhangiani: I'll give you some amounts to -- sorry, go ahead.
Simon Hales: Yes, I'm just trying to -- there are 2 separate buckets here, Nik, the €150 million of savings and part of that's retention of last year's savings. But as we've come into 2021, clearly, the trading backdrop is still very challenged. People still aren't traveling in the way than we perhaps hope they might have been 6 or 9 months ago. Is the €150 million encompassing all of the OpEx savings in sort of 2021 or is there still some ongoing cost mitigation in the short-term given the second wave of lockdowns on top of that? Does that make sense to you?
Nik Jhangiani: Got it. So I think if you look at the €150 million that I've talked about, clearly, it is more weighted towards the first half of the year. And keep in mind, as we talked about earlier, I think, with Lauren's question, we would we be able to move and invest faster in the business. We have planned for a recovery and are investing. Clearly, that's not coming, I'd almost say this €150 million is our baseline savings, and we would guide more. So -- but that €150 million is definitely more half 1-weighted than half 2-weighted. And I would say more Q1-weighted than within half 1. So that's the way I would look at it. And then as I just said to Robert's question, this is obviously what we have for 2021. You would see some of those ongoing programs that we've announced deliver savings in '22 to '24 as well in the €50 million to €75 million range in addition to that €150 million that will be in our base versus '19. So hopefully, that helps.
Operator: And our next question is going to come from the line of Charlie Higgs with Redburn.
Charlie Higgs: The first one is just on kind of a new way of working maybe post pandemic. If people are working from home more and there is just a sustained shift to the at-home channel, are there things that you can do in retail to improve pack mix and price mix or will that potentially be an ongoing price mix headwind? And then the second question is very strong digital growth, maybe give a bit more color on what that means for the business? I mean is that positive for margins, maybe better for working capital cycle? Just any more color on that would be useful, please.
Damian Gammell: Thank you, Charlie. Yes. I mean we see price mix improving going forward. We have adapted quickly to some of the new dynamics around working from home. We've had exponential growth with food aggregators. I mean we were doing well with them precrisis because they were winning anyway. So we had a good platform. But as their business has accelerated, we've accelerated with them and, we've been changing pack formats with them as we see transaction sizes growing as, obviously, people are having family meals and maybe really felt they were celebrating out-of-home at home. So that's working very well. We are also continuing to look at driving profitability even faster in retail. We changed a lot of our pack formats based on the first experience of lockdown, where we saw, obviously, people shopping slightly less frequently or using more home delivery. And obviously, that points to being able to offer larger pack sizes or special packs in and outs, which we really enjoyed success in, in the second half of last year. So we expect a lot of those trends will remain. We're obviously prepared for the eventuality of also restaurants, bars and travel reopening when that happens. And clearly, as people go back to restaurants and bars, even if it's slightly less than previously, that's going to be a price mix gain for us. And so we're excited about seeing that happening. There's a lot of speculation about whether people will have blowouts and their eating out will become even bigger or not, we're prepared for both eventualities. But I'd say even in the current restrictions, which we believe are getting closer to an end across Europe, our investments with food aggregators, our platform for takeaway is really helping us. Our online business, to your last point, clearly, our online business is predominantly through our retailers. And therefore, is basically something that doesn't drain our margins because we work with our retailers through their home delivery platforms and again, that has served us well. We have got a small trial of direct-to-consumer in the U.K. And clearly, that's something we're excited about. But obviously, very conscious that that's going to be a good initiative for our margins as well going forward. So that's how we're looking at it at the moment.
Operator: And our next question is going to come from the line of Fintan Ryan with JPMorgan.
Fintan Ryan: Just two for me, please, and mostly around your portfolio. Following on from your commentary around the Costa expansion rollout and the "opportunities" you see there. Nik, could you quantify in terms of your OpEx and CapEx the next few years, what sort of incremental should we see, I think, particularly in regards to the actual capital rollout of the Costa Express vending machines? Is there -- should these become sort of a meaningful line item on your cash flow statement as you're seeing with the cola drink equipments? And then secondly, just regards to your sort of long-term targets to double the energy business. I'm wondering if could you give a bit more color around how you see that evolving in terms of category growth, market share opportunities for you to take specifically and what you've done already in Spain and Portugal. And again, do you see any risk that further growth within the energy portfolio could, in many ways, cannibalize your sparkling flavors, like Fanta or Sprite? So any thoughts around that would be great, please.
Damian Gammell: Thank you, Fintan. I'll maybe deal with the second part of your question, and then Nik can comment on capital on Costa. So we've had a great success story in energy, particularly led by Monster over the last number of years, and we've got Coke Energy coming in. So it's been the best-performing category throughout 2020. We've been able to enjoy the growth of the category a little bit more. Our absolute category share, depending on the markets you look at, is still in the 20s. So when we look at that building of the business, if you compare that share to what we enjoy in our other mainstream categories like cola or flavors, it's still well below what we enjoy. So we believe we can participate in the market growth and take some share. And I think we've demonstrated that, as you called out in Spain, Portugal. We have a great business across Europe. Clearly, GB has been a strong market for a while. So we're excited about that being quality growth for us that doesn't impact the rest of our portfolio. And I think the pipeline of innovation from both the Coke Company and Monster in this space, combined with what we've already done, gives us confidence in building the business. And clearly, we're challenging ourselves to do it as quick as we can. But in effect, it's what we've shown over the last 3 or 4 years, and we still see a lot of headroom for growth. It's profitable. It's a great category, and I think we're well setup for taking our more than fair share of it. So yes, excited about that. And Nik, do you want to comment on the CapEx?
Nik Jhangiani: Yes. So I mean, I think as Damian said, it's a great category, it's a growing category and it's a profitable category as we choose to play in it. So we talked about the ready-to-drink, which clearly we will continue doing that and do that in-house at the right time. So there will be some investments there. But it's a good revenue per case and good margin product for us. And then you've got the Proud to Serve and the Costa Express that we continue to be excited about. So in the numbers that I've indicated for you -- to you for 2021, as I indicated to Lauren with the coolers piece, we've included in that, obviously, our rollout of machines as we look at the priority markets, really being Germany and Belgium and Norway as we're rolling out with Costa. And what we would plan to do is we're laying out a 5-year plan with the Costa team and our senior leadership team that Damian referred to. And at the appropriate time, we'll actually share with you a separate business view on Costa, including margins, CapEx investments, et cetera. But for 2021, that's included in our number. If recovery is faster and we want to go faster on that, again, that will not be a limiting factor for us.
Operator: And our last question for this morning will come from the line of Sean King with UBS.
Sean King: We've been hearing a lot more and more about sustainable packaging, which is coming at a cost. You mentioned that your customers are getting behind these initiatives. Any evidence of consumers being willing to pay more for sustainable packaging? Or is this just really the price to pay in the industry?
Damian Gammell: Thank you, Sean. Great question. Currently, we haven't seen the consumer preparing to pay more. I think that's a function of a number of factors. Clearly, our brands are pretty well premium-priced already. It is something that we haven't factored into our modeling. But obviously, it's something that we look to be able to extract more value on. So certainly, getting back to a comment we made earlier, we are working on a function of the willingness to pay is to understand the value. And I think we have now built a platform that, going into '21 and '22, we can talk more directly to consumers about the benefit of sustainability, the benefit of our packaging and how we're managing it. And over time, that could translate into certainly more brand love. We can see that. And over time, that may translate into more pricing power in the market. So that's something we're excited about. We haven't factored that in. So we clearly see that as being upside to our investment case. It's logical, I think, that brands that are seeing genuine to be more sustainable will be more valuable. I think that's definitely true. The ability to translate that into shelf pricing, I think, it's something we're going to keep exploring and testing. It's certainly giving us more engagement with our customers around space in-store, aligning to their green agenda and partnering with them around reducing carbon footprint. So definitely, a win on the engagement side with customers, definitely increasing brand value, great opportunity as you race to see if we can extract a higher price on the back of that and more to come on that.
Operator: I will now turn today's conference over to Damian Gammell for closing comments.
Damian Gammell: So first of all, again, a big thank you to everybody for joining us today. As you will have heard, we've had a very resilient performance, and we realized that certainly, in Q1, we still face restrictions, and we're dealing with that as we move forward. We are continuing to invest in our business right across innovation, sustainability and our digital agenda. We're also delivering on costs. We've adjusted our cost base strategically to a new reality, and there is more to come. The strength of our free cash flow continues to be a standout, and we're very, very excited about 2021, both from a core innovation and some new news coming on our Coca-Cola brand, Topo Chico, Costa and, of course, Amatil. This transaction is progressing, and we look forward to moving forward in the process and sharing more with you as soon as we can. So with that, I'd like to thank you again and close our call, and I hope everybody continues to stay safe and well. Thank you very much.
Operator: Thank you for participating in today's conference call. Once again, we appreciate your participation, and ask that you please disconnect.